Operator: Good morning, ladies and gentlemen, and welcome to the Lundin Gold’s Third Quarter of 2024 Results Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, November 8, 2024. I would now like to turn the conference over to Ron Hochstein, President and CEO. Please go ahead.
Ron Hochstein: Thank you, Dion, and good morning, everyone. Thank you for joining us today. I’m joined by Terry Smith, Chief Operating Officer; and Chester See, our Chief Financial Officer. We are going to take you through our results for the third quarter of 2024. Please note, Lundin Gold’s disclaimers on this slide. This discussion includes forward-looking information. Actual future results may differ from expected results for a variety of reasons described in the caution regarding forward-looking information and statements section of our press release. Lundin Gold is a U.S. dollar reporting entity, and all amounts in this presentation refer to U.S. dollars unless otherwise indicated. Lundin Gold achieved another strong quarter highlighted by record cash generation, revenue and adjusted EBITDA, which was supported by a strong gold price. Cash flow from operations was $218 million, and adjusted free cash flow was $182 million. Record quarterly revenues of $323 million were realized during the third quarter from a sale of 125,887 ounces and an average realized gold price of $2,615 per ounce. From this adjusted EBITDA and adjusted earnings of $220 million and $136 million, respectively, were achieved. Also, a record. The strong financial performance was underpinned by gold production this quarter of 122,154 ounces driven by recoveries of 86.8%. High average mill throughput of 4,623 tonnes per day and average mill head grade of 10.3 grams per tonne. Having produced approximately 367,000 ounces for the year at the end of the third quarter, Lundin Gold is on track to achieve the upper end of its production guidance of 450,000 to 500,000 ounces. For Q3, the cash operating cost was $681 per ounce sold, and all-in sustaining cost was $877 per ounce sold. AISC has trended toward the upper end of guidance due to higher sustaining capital expenditures. Operational excellence initiatives continue to reduce operating costs, offsetting the impact of higher gold prices, resulting in higher royalties and profit sharing, for which the portion attributable to employees is recorded in operating costs as well as higher diesel consumption due to the operation of our existing power generation units to reduce our power consumption from the national grid. As a reminder, we set our guidance for the gold price assumption of $1,900 per ounce. Due to royalties and profit sharing, every $100 per ounce increase to the gold price results in an increase of approximately $10 to the cash operating cost and AISC per ounce sold. With respect to exploration, the company is on track to achieve a minimum of 80,000 meters of drilling for the year across the conversion, near-mine, and regional drill programs. Exploration activities during the quarter continue to yield positive results, which demonstrates that the true potential of FDN has yet to be fully discovered. At FDNS, delineation drilling continues to confirm the continuity of a new high-grade vein system with some of the best drill intercepts achieved to date. Conversion drilling has successfully concluded for the year and has defined several wide, high-grade mineralized zones that we expect to convert from mineral resources to mineral reserves, as part of our updated resource estimate planned to be issued in the first quarter of next year. Both programs continue to highlight great potential for additional mineral reserves at FDN. At Bonza Sur, we have drilling results pending and I look forward to disclosing these in the near future. With that, I’d now like to turn the call over to Terry.
Terry Smith: Thanks, Ron, and hello all. We had another solid quarter that was highlighted by quarterly gold production totaling approximately 122,000 ounces. Along with that great performance, we saw an improvement on safety as there are no Lost Time Incidents. We had three Medical Aid Incidents bringing the total recordable incident rate across the company to 0.33 per 200,000 hours worked for the quarter compared to 0.75 in the second quarter. The operations team continues to focus on safety with more leadership presence in the field as well as a hand injury prevention campaign as most of our recordable injuries have been hand-related this year. Mine production was near record levels during the quarter, with 427,000 tonnes mined at an average grade of 9.9 grams per tonne. The mill processed 425,340 tonnes at an average throughput rate of 4,623 tonnes per day, which is slightly less than the previous quarter due to a planned shutdown to complete tie-ins relating to the process plant expansion and higher unscheduled mill downtime. The average grade of ore milled was 10.3 grams per tonne with an average recovery at 86.8%. Recoveries were affected by finely disseminated sulfide minerals in the ore. The addition of three Jameson cells in the process plant flotation circuit is expected to improve recoveries for gold associated with these sulfides. As for the process plants expansion, we’re on track to be substantially complete by the end of the year. Detailed engineering and procurement activities were completed in the third quarter. As you can see in the pictures, we’ve received on-site the major pieces of equipment, including the Jameson cells and the concentrate filter, which have been put in place. Construction of the upgraded tailings pipeline was completed and commissioned during the quarter. We are currently close to commissioning the first of three Jameson cells with the reclaim water pipeline and third concentrate filter scheduled to be completed and commissioned and in Q4. Upon completion, we anticipate operating at higher average throughput of 5,000 tonnes per day and improving metallurgical recoveries by approximately 3%. Several countries in South America have been experiencing a prolonged drought this year. Given that over 70% of Ecuador’s electricity is generated from hydroelectric power plants, the drought has led to reduced electricity generation. The Ecuadorian government has reacted by implementing countrywide power cuts ranging from 4 to 14 hours per day. We are working with the Ecuadorian power authorities to run our existing generators at interim periods to reduce our load. To supplement these generators, four additional diesel power generators were purchased during the third quarter… [Technical Difficulty]
Ron Hochstein: …are robust. We have a conversion program, near-mine program, and regional program. Conversion is focused on replacing depleted ounces and growing our reserve base through the conversion of inferred resources. Our near-mine program is focused on growing inferred resources through the identification of new targets, including FDNS, FDN East, FDN North, and Bonza Sur. Lastly, the regional program is targeting new epithermal discoveries, like Fruta del Norte, further afield on our large unexplored land package. Starting with conversion drilling, the recently completed 2024 program was focused on converting inferred mineral resources to indicated in areas immediately beyond the current mineral reserve boundary in the north and central sectors of the FDN deposit. A total of 13,755 meters of underground drilling from 110 drill holes were carried out in 2024, and drilling for this year is now complete, although some results are still pending. The program has defined several wide, high-grade mineralized zones that we expect to convert from mineral resources to mineral reserves, as part of our updated resource estimate planned to be issued in the first quarter of next year. With respect to our near-mine exploration, since the beginning of the year, we have drilled a total of 45,325 meters across 120 drill holes from surface and underground. In the third quarter, surface drilling has been focused along the extension of the east fault, where the Bonza Sur discovery and other prospective sectors like FDN East are located. Underground near-mine drilling has focused on FDNS, where we have achieved some significant results this quarter, with some of the highest-grade intercepts ever achieved. 22 drill holes were completed this quarter with most confirming gold mineralization. Standout drill holes include 145, which returned an intercept of 53.08 grams per tonne over 10.8 meters, and drill holes 175, which returned an intercept of 65.01 grams per tonne gold over 5.35 meters. Well, these are very exciting. I’m even more excited by the fact that the 22 drill hole results occurred in a sector that have been previously defined as lower-grade in our current mineral resource envelope. 10 rigs are currently turning on the FDN near-mine exploration program, 3 underground and 7 on surface. On Slide 13, staying on FDNS, the great boxes highlight some of the underground drilling that took place in the third quarter from levels 1170 and 1080. You can see the 2 high-grade intercept holes here that I spoke to on the previous slide. But what is striking to us is that when taking all the results into consideration. This has confirmed that FDNS is a high-grade vein system of distinct geometry and style when compared to the FDN deposit. All the recent results are being incorporated into a new geological model for this sector and are expected to be part of the update to the FDN mineral resource estimate to be completed in the first quarter of next year. Moving to Slide 14, I want to discuss Bonza Sur. Last quarter, we defined Bonza Sur as a new deposit. In the third quarter, 28 surface drill holes were completed in the central part of the deposit. Drill holes confirmed wide mineralized zones at shallower levels. At depth, the drilling program showed the transition of the wider mineralized zone into a narrower vein/veinlet type system. Furthermore, along the south and east extension of the deposit, the drilling program intercepted the same hydrothermal operation as that found at Bonza Sur, which indicates a potential for expansion along these directions. Gold mineralization has already been discovered for more than 1.8 kilometers along the north-south strike and for 500 meters along the down dip, and remains open mainly to the south and to the east. Double drill holes at Bonza Sur are pending, and we look forward to updating the market on these drill holes in the near future. I want to conclude the exploration section by saying that this is the district’s largest ever annual exploration program at a minimum of 80,000 meters and an estimated cost of $44 million, and is continuing to demonstrate the significant untapped exploration potential near in and around FDN. These results achieved to date demonstrate that the true potential of FDN and this extensive land package has yet to be fully discovered. With that, I’ll turn it over to Chester to talk about the financial results for the quarter.
Chester See: Thanks, Ron, and good morning, everyone. In the third quarter of 2024, Lundin Gold recognized record revenues of $323 million from the sale of approximately 126,000 ounces of gold. An average realized gold price of $2,615 per ounce was realized, which was positively impacted by rising gold prices on provisionally priced gold sales that exceeded previous fair value estimate. Income for mining operations was $203 million compared to $100 million a year earlier, primarily a result of the higher gold price achieved during the quarter. From this, Lundin Gold generated adjusted earnings of $136 million or $0.57 per share this quarter compared to $45 million or $0.19 per share a year earlier. Adjusted EBITDA was a record $220 million in the third quarter. The Lundin Gold story continues to be about free cash flow generation, which is now amplified by strong gold prices and a debt-free balance sheet. In the third quarter, we generated a record $218 million net cash from operating activities and $182 million in adjusted free cash flow, or $0.76 per share, compared to adjusted free cash flow of $81 million, or $0.34 per share, a year earlier. We expect to continue generating significant free cash flow in the future based on our production and AISC guidance, especially given increased exposure to strong gold prices and no debt service costs. Since the beginning of the year, we have generated $470 million from operating activities, bought out the stream and off-take for $330 million, and doubled our dividends in the third quarter. Our anticipated free cash flow profile for the future leaves room for increased investment into growth, increased shareholder returns or both. We continue to see tremendous organic opportunities with our successful near-mine exploration program, which could lead to investments into the development of new satellite deposits. And we continue to assess the M&A landscape. We are extremely well positioned, and we will remain disciplined with respect to capital allocation. For a more detailed discussion of our financial results, I encourage you to turn to the MD&A. Now, I’d like to turn the call back over to Ron for his concluding remarks.
Ron Hochstein: Thank you, Chester. Another strong operating and financial quarter for Lundin Gold. With 3 quarters of the year behind us, I’m excited by the prospect of achieving the high-end of our production guidance of 450,000 to 500,000 ounces. Record gold prices and the cleaning up of our balance sheet have allowed the company to achieve record revenues, adjusted earnings and free cash flow. The increased gold price has resulted in increased royalties and accrued profit sharing. These costs have an impact on the company’s cash operating costs and AISC per ounce sold that were set based on a gold price assumption of $1,900 per ounce. Irrespective through continued cost reduction measures, we are still confident that we’ll meet our cash operating cost guidance of $680 to $740 per and AISC cost guidance of $820 to $890 per ounce sold. The process plan expansion project to increase plant throughput to 5,000 tonne per day and improve metallurgical recoveries with the addition of the Jameson cell technology remains on track and we’re looking forward to bringing the major components online by year end. 10 rigs are currently turning across the near-mine and regional programs, and we’re looking forward to sharing with you the pending drill results of Bonza Sur and the updated mineral resource and mineral reserve statements in the first quarter of 2025 from the largest annual drilling program ever conducted at FDN. Our financial performance this year has been strong, and with current gold price, we need to remain focused. We know there are areas for improved productivity and cost reduction at FDN, and we will continue to target them. With respect to capital allocation, we will remain disciplined and pursue growth that makes sense, both organic and inorganic. Thank you all for joining us and for your continued support. And, with that, I will now turn the call over to Dion for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Kerry Smith of Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Hi, Ron and Chester and Terry, thanks for the update and congratulations on good quarter. So the first question I had was on the expected downtime in Q4 for the rest of the times in the plant, how many days do you think that might be like in terms of full days of lost production? Would it be a couple of 3-year or might it be more than that?
Terry Smith: Hey, Kerry. It’s Terry here. We’ve got 3 days scheduled for per tie-ins this quarter.
Kerry Smith: Okay. Perfect. Thank you. That’s good. And, Terry, you can probably answer this one too. How much power do you actually need to run the plant? What is the draw? Just remind me.
Terry Smith: Where the peak load is around – yeah, our peak load is around 18-meg and our nominal is 16.
Kerry Smith: Okay. Okay. So you’ll have enough then to use these four gensets that you’re putting in. Okay. Great. And then maybe the last question, maybe Ron can answer. What gold price are you thinking you’ll use when you update your reserves and resources next year in Q1?
Ron Hochstein: We’re not changing our gold price assumptions, Kerry. We’re going to stay at the 1,400 that we’ve had for the last couple of years. We’re not modifying.
Kerry Smith: Okay, I mean, it’s not sensitive. I just wondered if you might change. Okay, that’s great. Thanks very much.
Ron Hochstein: You’re welcome, Kerry. Thanks, Kerry.
Operator: Your next question comes from Don DeMarco of National Bank Financial. Please go ahead.
Don DeMarco: Thank you, operator. And Ron and team, thank you for taking my question. First question, I got a few on the status of the power brownouts in Ecuador. Are there certain hydro generating stations that are more important than others for the grid powered FDN? And has there been rain at these, like do you watch the reservoir levels? And then, also, what’s the expected cost per ounce increase in a worst case scenario if you had to run all four gensets 14 hours per day versus current grid power?
Ron Hochstein: Yeah, good morning, Don, and thanks for the questions.
Don DeMarco: Good morning.
Ron Hochstein: Yeah. The power situation is to use the words in Ecuador, is a crisis. You could only imagine citizens and businesses that are having to base power outages at 14 hours per day. There are two major rivers, which the Codo Sinclair power facility is run a river project, which is about 1,300-meg. And then there’s a couple of reservoirs – three reservoirs. It’s a chain system more closer in this Hawaii [ph] province, which is around Cuenca. That’s a big power generation as well. Thankfully, we have been seeing a lot of rain in the highlands, both up in the north and south over the last week to 10 days. But the problem was these reservoirs are so low, where they had talked about reducing the power outages per household, but now they’re talking about maybe having to increase that again because the forecast for the latter half of November and December are not good. It’s a real challenge. They are looking for other sources and they have some other sources available, but it’s been delayed on that, because as Terry said, this is not an Ecuador issue, [Colombia is or having a similar issue in Suaz] [ph], Bolivia. But, yeah, they have some plans to try to help that, but again, we’re more or less at the nature and hopefully we start to see some rainfalls. When we look at the power generation, it’s roughly about $10 to $15 an ounce about that range cost for us, the additional cost.
Don DeMarco: Okay. And what would that scenario be, like if you’re running all 4 for half or 12, 14 hours a day type thing, or doesn’t really seem material, frankly?
Ron Hochstein: Well, it may be closer to ten if it was running all 4 for part of the day. There are times now, we are in discussions with the local utility that maybe have to increase the number of hours run to try and help out even more. We built a good relationship with the utility, because we’ve been able to try – if they need help, we try to help, so we run our generators a little bit more, so.
Don DeMarco: Okay. And just to be clear, I mean, you have some generators right now, but then there’s the ones that you procured that are going to be commissioned in Q1. So I’m referring to if you were to run those ones, right, that’s about $10 an ounce?
Ron Hochstein: Yeah, and I’m going to get closer to the $15 an ounce when you start running more of them. Yeah.
Don DeMarco: Okay. Thanks. Got it, Ron. That’s helpful.
Ron Hochstein: Yeah, and we’re looking at maybe even commissioning 1 of the 4 here sooner than Q1 of next year. The team’s looking at that right now, because the situation in Ecuador is just not getting any better.
Don DeMarco: Okay. Well, nice you could get that contingency in place. Just moving to my second question. At FDNS, congratulations on the intercepts there. Could you just repeat your comparison to FDN? Were you saying it looks like it might even be higher grade than FDN? I mean, it still seems a little bit early, the number of holes and all that, and we looked forward to the resource update, but if you could just add a little more color in your comparison here? Thank you.
Ron Hochstein: It’s higher – I don’t know if it’s necessarily higher grade than FDN total. It’s higher grade than that area that was previously part of the inferred mineral resource envelope. That southern extension of the mineral resource envelope was running around 4 to 5, average grade 4 to 5 grams per tonne. And you can see by the results that we’ve had to date that those main systems are significantly higher than that. So what that’s going to mean, Don, is that southern end of that resource below when we bring FDNS now into the FDN resource is definitely going to bring the grade up on that southern part of the resource.
Don DeMarco: Okay. Thank you for clarifying that. Well, good luck with Q4 and the tie-in, that’s all for me.
Ron Hochstein: Yeah. Thanks, Don.
Operator: Your next question comes from Ovais Habib of Scotiabank. Please go ahead.
Ovais Habib: Thanks, operator. Hi, Ron, and Lundin Gold team, really, congrats to you and your team on another great quarter. Just a couple of question for me, just following up on Kerry’s question in regards to the shutdown, just wanted to see if you can provide a little bit more cover in terms of how should we be looking at the throughput rates as well as grades for this quarter? Recall, you had stated that grades are expected to decline sequentially upon the Q2 results around the 11 grams per tonne, so just some color there? That would be great.
Ron Hochstein: Terry, do you want to take that?
Terry Smith: Yeah, sure. Thanks for the question. We were in around 430,000 tonnes last quarter. With the tie-ins and sort of the commissioning around the plant, we’re really trying to hit that number, if not exceeded a little bit in terms of throughput, if that’s helpful.
Ron Hochstein: Part of that is because we now have the new tailings line commission, right, which came in near the end of Q3, so that will help us to maybe up the throughput a little bit on the days when we are running. Yeah.
Terry Smith: Thanks, Ron. That’s a good point.
Ovais Habib: Perfect, perfect. And just…
Terry Smith: Our grades will be consistent with where we were in Q3, I would say.
Ron Hochstein: So we’re going to be backed up from 10.
Terry Smith: Yeah.
Ovais Habib: Perfect. Okay. And just kind of moving on to some of your capital allocation priorities, and just once again, well done on completing the Newmont stream facility payment, and you’ve achieved the debt-free status as well. So how do we look at your capital allocation priorities kind of going forward? Again, you talked a little bit about M&A as well. Does Bonza Sur kind of deter you or kind of change how you’re thinking about M&A, any sort of color they’re on?
Ron Hochstein: I wouldn’t say it deters us. I think we’re in a – I don’t mean to be facetious or anything, but we’re in a good situation that we’re generating the cash flow that we’re generating, and credit to the team at site that continue to look for ways to reduce our operating costs, that we’re generating the cash that we have the flexibility to look at either or both. It’s not a case of us that we have to really make some decisions where – with the clean balance sheet, the cash flow we’re generating, we have a lot of flexibility. The key is to stay disciplined and to ensure that we’re pursuing the right opportunities, so we can look at both. It’s not going to deter us from M&A by looking at the development of Bonza Sur.
Ovais Habib: Perfect. Again, thanks for taking my questions and look forward to the site trip next week.
Ron Hochstein: Yeah, look forward to seeing you and Don next week.
Operator: Your next question comes from Anita Soni of CIBC World Markets. Please go ahead.
Anita Soni: Good morning, Ron and team. Thanks for taking my questions and congratulations on a solid quarter. Most of the questions have been asked and answered. I just was wondering about the sustaining capital that you mentioned that the AISC is climbing a little bit, because of increased sustaining capital. Can you provide a little bit more color on that?
Ron Hochstein: Thanks, Anita, for the question and welcome to the team of analysts covering the Lundin Gold. It’s mostly the power generation, which added approximately – Chester, how much?
Chester See: $15 million.
Ron Hochstein: About $15 million to our sustaining CapEx. That’s really the big one. There were some other small things, like we did purchase a SCOOP, which was not in the original budget, which was roughly about another million.
Chester See: $1.8 million.
Ron Hochstein: $1.8 million, thanks, Chester. So a couple of things, but it’s primarily the power generation, this decision to bring most additional generators and infrastructure around those.
Anita Soni: Okay. And then would that carry through, do you think, to 2025?
Ron Hochstein: There’s 5 – go ahead, Chester.
Chester See: But there was gensets, as we mentioned, we will be commissioning it to be up and running by the end of the first quarter of next year. So there’s about $5 million of those costs that will carry over to next year’s sustaining capital.
Ron Hochstein: They’ll be in our sustaining capital budget that will be part of our 2025 budget that we’ll be announcing…
Chester See: Later this year.
Ron Hochstein: …later this year.
Anita Soni: Okay. That’s it for my question. Thank you.
Ron Hochstein: Thanks, Anita.
Operator: Your next question comes from Kerry Smith of Haywood Securities. Please go ahead.
Kerry Smith: Thank you. Chester, maybe I missed it, what was the capital cost for the four more gensets, the 10 megawatts that you’ve bought and plan to install?
Chester See: Yeah, in total, it’s about $20 million. $15 million of that is being incurred this year, and the remaining $5 million is next year.
Kerry Smith: Okay. Got you. And just to be clear, in the slide deck, you say those generators will be up and running in Q4, but I know Ron made a comment that it would be Q1 off of Don’s question. So just to clarify, which is it?
Ron Hochstein: No, they’re purchased in Q4, but they’re installed and commissioned in Q1. So…
Kerry Smith: There’s a lot. Okay.
Ron Hochstein: Because it’s electrical switch here and that we need to tie them in, that’s the delivery times on that are longer.
Kerry Smith: Got you. Okay. That’s good. Okay. Great. Thank you, guys. I appreciate it.
Operator: Your next question comes from Jeremy Hoy of Canaccord. Please go ahead.
Jeremy Hoy: Hi, Ron, Terry, Chester. I appreciate you taking my question. A lot of good discussion. Just two quick ones from me on the exploration. One, wondering what you guys are thinking about in terms of exploration budget next year. Are we going to see a step up versus the record program you guys had this year or are you worried about the right level? And two, just wondering if you could provide a bit more color on FDNS for our understanding. I’m just curious how the strategy changed to be able to better define that vein system and understand the higher grade versus the lower grade inferred before. Thanks. That’s it for me.
Ron Hochstein: Thanks, Jeremy. Right now, based on the philosophy that Andre has, the team is that for our budget, our exploration program will likely be roughly in and around the same levels as the current one, around the 80,000 meters. But quite frankly, Jeremy, if I was a betting man, it’s going to increase because we continue – what we do is we base the budget on what we know today and what we want to drill based on what we know today. But then as we did in this year, when we have success, then we have the flexibility, again, because of the cash flow we’re generating to be able to expand it. So that’s the philosophy we’re taking. With regards to FDNS, it’s really – what’s really changed a lot was all the surface, all the drilling in that southern part of that resource was all done by Kinross and that was all done from surface. We’ve extended out those the 1080 and 1170 levels. We kind of finished that development, but partway through the year, Terry. And so by that development and being able to drill from underground really has enabled us to really drill this out and really see what this system is. That’s been a big, big part.
Jeremy Hoy: Okay. That’s great color, Ron. Thank you. I appreciate it. And I’ll step back in the queue.
Operator: [Operator Instructions] Thank you, ladies and gentlemen. That concludes our question-and-answer session. I will now turn the conference back over to Ron Hochstein, President and CEO. Please go ahead.
Ron Hochstein: Thank you, Dion. And thank you, everyone, for attending the call this morning and answering the great – or providing the great questions. And look forward to seeing some of you next week in Ecuador. And, yeah, as Chester mentioned, we anticipate a 2025 budget coming out later this year, which would probably be our next – and the Bonza Sur results as well over the next 4 to 6 weeks. So thank you, again, everyone, and have a great day and a great weekend.
Operator: This concludes today’s conference. Thank you for attending. You may now disconnect your lines.